Operator: Good morning. My name is Vanessa, and I will be your conference operator today. At this time, I would like to welcome everyone to EchoStar's Third Quarter 2014 Earnings Conference Call. [Operator Instructions] Thank you. I would now like to turn the call over to Mr. Deepak Dutt, Vice President of Investor Relations. Please go ahead, sir.
Deepak V. Dutt: Thank you, Vanessa, and good day, everybody. Welcome to our third quarter 2014 earnings call. I'm joined today by Mike Dugan, our CEO; Dave Rayner, CFO; Pradman Kaul, President of Hughes; Mark Jackson, President of EchoStar Technologies; Anders Johnson, President of EchoStar Satellite Services; Ken Carroll, EVP, Corporate and Business Development; and Dean Manson, General Counsel. As you know, we invite media to participate in listen-only mode on the call and ask that you not identify participants or their firms in your reports. We also do not allow audio taping, which we ask that you respect. Let me now turn this over to Dean for the Safe Harbor clause.
Dean A. Manson: Thank you, Deepak. All statements we make during this call that are not statements of historical fact constitute forward-looking statements, that involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by such forward-looking statements. For a list of those factors and risks, please refer to our annual report on Form 10-K and our quarterly report on Form 10-Q filed in connection with our earnings. All cautionary statements that we make during this call should be understood as being applicable to any forward-looking statements we make wherever they appear. You should carefully consider the risks described in our reports and you should not place undue reliance on any forward-looking statements. We assume no responsibility for updating any forward-looking statements. I will now turn the call over to Mike Dugan.
Michael T. Dugan: Thanks, Dean, and welcome to the call. I'm pleased to say that our financials for Q3 were strong and continue to be consistent with our expectations and forecast. EchoStar revenue in the third quarter of 2014 was $896 million for a growth of 6% over Q3 last year, and EBITDA was $248 million for a growth of 48% over Q3 last year. Dave Rayner, our CFO, will address our financials in a little bit more detail later in the call. I'd like to turn the call over to the heads of our business units to discuss their operations. We'll start with Mark Jackson, President of EchoStar Technologies; who will then be followed by Anders Johnson, President of ESS; and then Pradman Kaul, President of the Hughes division. Finally, Dave Rayner, our CFO, will give you that overview we talked about. Mark, it's up to you.
Markus Wayne Jackson: Thank you, Mike. Good morning, everyone. So EchoStar Technologies' revenue in the third quarter of 2014 was $423 million compared to $456 million last year. EBITDA was $37 million compared to $43 million in Q3 last year. This quarter, we have continued to support our various customers to meet their increased demand during the third quarter. Specifically, we have been working with our joint venture partner in Mexico on the DISH Mexico service as they continue to see solid growth to their subscriber base. We have been able to successfully accommodate a large increase of orders with refurbished set-top boxes and the associated accessories, which has allowed us to have a stronger revenue performance in Q3 while meeting the customer's demand, generated by the launch of local content last year. In parallel, we are offering many of the higher end, new generation set-top boxes that are feature-rich, along with new services that position the JV to seek higher ARPU customers. We also discussed the successful launch of the DVR+ Channel Master last quarter, both the flash and the embedded 1-terabyte hard drive version in Q2. This quarter has been spent integrating compelling content to complement the over-the-air content already available for their customers. VUDU and Pandora Internet radio are a couple that have been launched, and we will continue to expand the lineup of content for Channel Master. We are excited to have Channel Master as a partner in this area. Following on Sling Media's successful launch last quarter of the Slingbox M1 and the Slingbox 500 exhilarating sleek experience on your living room TV, Sling Media continues to add features to the lineup of SlingPlayers. Several updates to the iOS, Android, Mac and PC SlingPlayers have been added. These additions allow easy discovery and the navigation to TV shows, movies and sports in an elegant and seamless manner. And if a customer wants to watch their Slingbox experience on a TV at a friend's house or vacation home or even a TV at home that doesn't have a set-top box, but does have a streaming device, Sling Media has added support for Chromecast to the lineup of Roku and Apple TV, which are already there. Finally, we have had many questions about our home automation efforts that we demonstrated at IBC in Amsterdam this September. We are excited about our marrying of our video expertise, along with our ability to offer customer-friendly and technologically-enhanced products to the consumer home automation and security market. We are continuing to work through final product development and marketing plans, and we will share more specifics in the future, as appropriate, on this product. I would now like to turn it over to Anders Johnson. Anders?
Anders N. Johnson: Thank you, Mark. Our financials results for the quarter were very strong with revenue growth of 49% and EBITDA growth of 62% over Q3 2013, driven primarily by incremental lease revenue from the 5 satellites we acquired from DISH in the first quarter. We're continuing to move forward with a number of initiatives that we mentioned on previous calls. We currently have 5 satellites under construction at EchoStar plus EchoStar XVIII, which we are managing for DISH Network. 3 of these satellites are managed within the ESS organization and Pradman will comment on the other 2 in a few moments. EchoStar XXI, previously referred to as TerreStar 2, is an S-band satellite planned for use by our Solaris Mobile venture in Europe with a planned launch in the first quarter of 2016. EchoStar XXIII, which we announced in the second quarter of this year, is a very flexible Ku BSS satellite that is capable of fulfilling multiple missions across the North American arch, including the deployment at the 45-degree west slot for Brazil, and that is the plan right now for the launch in the third quarter of 2016. We entered into a construction contract for EchoStar 105, also referred to as SES-11, with Airbus Defence and Space in August of this year. It will have a combination of C, Ka and Ku payloads. We also entered into a contract with SES satellite leasing for the procurement of launch services. The contract provides for us the transferring of payload titles to SES after launch and SES will be providing a service on the Ku payload for an initial 10-year term with an option to renew thereafter on a year-to-year basis. We will account for the Ku lease as a capital lease. Launch is targeted for early 2017. While this is a little different structure from the existing transaction it provides us with owner economics on the payload that replaces AMC-15 at the 105 west orbital location. In conjunction with this agreement, we also extended the leases on AMC-15 and AMC-16. The extension will be accounted for as an operating lease starting in January and February, respectively, versus the current capital leases. While this will obviously impact our EBITDA results, it is an improvement in cash flow. All of the satellites under construction are progressing according to their original timelines. At this time, all the launches for those satellites are nominally on target. Now I'd like to turn the call over to Pradman Kaul.
Pradman P. Kaul: Thank you, Anders. Hughes had another very strong quarter in all 3 of our businesses. Q3 '14 revenue was up 12% and EBITDA was up 45% year-to-year. Consumer service revenues showed strong double-digit growth in this quarter over the same quarter last year and in the 9-month ending September -- over the 9 months ending September 2013. We had net adds of 25,000 in Q3, up 17% over Q2 of 2014. It's important to understand the makeup of these net adds. In Q3 '14, we had 49,000 net adds of Gen4 subs offset by negative 24,000 from legacy subs. In the 9 months ending September 2014 we had 174,000 Gen4 net adds, offset by a reduction of 74,000 legacy subs. This pattern is entirely in line with our strategy of focusing on growing Jupiter subs. Churn also showed steady improvement in this quarter with a month-to-month churn in each month in Q3 also moving in the right direction. Our churn management efforts have obviously begun to pay dividends. We entered the third quarter with 960,000 consumer and SME subs, a growth of 19% over the subs as of September 30, 2013. ARPU and margins continue to be strong and contributed to the strong consumer subs revenue and EBITDA. Our enterprise business had another strong quarter for order input. We booked orders in Q3 of $118 million, which follows the record order inputs in Q2. As a result, we continue to have a healthy backlog of over $1.3 billion going into the fourth quarter, a 21% increase over the backlog at the same time last year. This backlog obviously does not include our consumer business. Let me highlight now some of the major enterprise orders we booked in Q3. In North America we booked orders from Chevron, American General Finance, Galaxy Broadband, Yum!, ExxonMobil, the U.S. Air Force and better Xplornet. Our defense systems team also won a significant order from Astrium. And in our international business, we booked large orders from Turksat, British Petroleum Europe, Grupo Picasso, Pemex, Delamar and Star Satellite. We've also had significant success in our mobile satellite business. In infrastructure development, current projects due for delivery in 2015 includes supplying MEXSAT the entire ground network for 3G, voice data and push-to-talk systems. And TRAI, the Hughes will deliver an update to their voice system and also a brand-new regional data gateway. Our strategy is to provide turnkey ground network solutions to mobile satellite operators in L band and S-bands around the globe. We are the clear leader in this market. In the mobile satellite terminal business, we won a major award of $7.8 million to supply MEXSAT user terminals and for development of maritime land mobile semi-fixed and portable GMR-1 3G user terminals. From TRAI, we have received orders from mobile and portable user terminals and have seen strong Inmarsat, began sales especially in the M2M and mobility segments. Our terminal strategy continues to be to propose GMR-1 3G solutions for new MSS operators and existing operators looking at next-generation systems. And obviously, we are developing the S-band terminal for Solaris Mobile. Now some highlights on our inflight Wi-Fi offering. Hughes aeronautical services to Global Eagle Entertainment continue to expand this quarter with the launch of the Nok Air inflight WiFi service in Asia. Further expansion of the Hughes aeronautical service is expected in support of Global's new agreement with SES to purchase bulk Ku-band capacity. In support of this agreement, Hughes will continue to provide networking codependent services as well as manage operations of their space segment. Our Ka-band technology and platform are now deployed all over the world with service available through us directly or through our partners. There are a number of other deals that are being worked on and they'll be announced as soon we close them. The strategic advantage of being able to offer our customers global service from the same platform is obviously very important. Now regarding our satellites, JUPITER 2/Echo XIX, construction is proceeding as planned. The propulsion module was completed and moved to high bait, and unit integration is in process. We are on track to launch this satellite in the second quarter of 2016 to augment capacity for our Consumer business in North America. Last quarter, I mentioned another key development, which was that we have signed a 15-year contract with Eutelsat to lease the entire Ka-band capacity connected to the Brazilian service area on the Eutelsat 65 West A satellite. Slated to be launched in early 2016, Eutelsat 65 will host the Ka-band payload with 16 spot beams, which covers a significant portion of the Brazilian population, and generates approximately 25 gigabits of data capacity. High throughput JUPITER technology from Hughes will be deployed for the ground system and customer premise terminals. Eutelsat 65 will be our springboard in Brazil for broadband services to consumers and businesses. Satellite construction is on status green from arms power and terminal, and the gateways and the OSS-BSS systems are on schedule. We expect to be in service in mid-2016. I'll now hand the call over to Dave Rayner.
David J. Rayner: Thank you, Pradman. As Mike mentioned, we're very pleased with our financial performance in the third quarter. EchoStar's revenue this quarter was $896 million compared to $849 million in the third quarter of 2013, for a growth of 6%. EBITDA was $248 million in the quarter, up 48% over the third quarter last year. Obviously, much of this growth was attributable to the HRG transaction by close in the first quarter. But even without that, our EBITDA would have increased over 20%. Net income attributable to EchoStar common stock was $64.1 million compared to $4.3 million in the third quarter of 2013, and diluted earnings per share were $0.69 in the third quarter compared to $0.05 last year. EchoStar's capital expenditure for the quarter is $165 million compared to $107 million last year. Spending increase was primarily related to the satellite construction, of which you heard we have 5 in the works. The elevated spending will continue in the near term as we continue with satellite construction with the launch of schedule from the end of next year into early 2017. Free cash flow, which we define as EBITDA minus CapEx, was $83 million from the third quarter of 2014, an increase of $22 million or 35% over the same quarter last year, driven primarily by the strong EBITDA growth, partially offset by the higher CapEx. Regarding EchoStar business segments, as Mark mentioned, EchoStar Technology revenue in the third quarter 2014 was $423 million compared to $456 million last year. The decline is primarily due to lower revenue from our equipment sales and services to DISH Network, partially offset by higher equipment sales to DISH Mexico and Bell Canada. EBITDA in the third quarter of 2014 was $37 million compared to $43 million last year, which is a decline primarily due to lower revenue as well as FX impacts. We expect that these revenue trends will continue in Q4 and into early 2015. Hughes revenue in the third quarter of 2014 was $339 million for a growth of 12% over the third quarter last year. The growth was primarily from increase in the consumer, international and mobile satellite revenue. Hughes EBITDA in the third quarter was $95 million, an increase of 45% over last year, primarily due to the strong revenue growth and improving margins in most Hughes business units. The Q3 year-over-year EBITDA margins at Hughes increased over 6 percentage points. EchoStar Satellite Service revenue was $128 million in the third quarter, a growth of 48% over the same quarter last year, primarily a result of additional revenue from 5 satellites acquired from DISH as part of the HRG transaction effective on March 1 of this year. ESS EBITDA in Q3 was $112 million, an increase of $43 million or 62% from last year as a result of that increased high-margin revenue on the satellites. As Anders mentioned, our extension of the AMC-15 and -16 satellites will be treated as an operating lease versus capital lease. We expect an improvement in cash flow from this renewal, but annual EBITDA will be impacted by approximately $17 million in 2015. In the all other segment block, where we record gains on sales of securities, eliminations for intersegment sales and other corporate transactions, EBITDA in the third quarter was $4 million compared to a negative $9 million last year, primarily due to an adjustment related to a gain from our DISH Mexico investment. While we have had a 49% equity interest in DISH Mexico since we made the initial investment, we've been accounting for it as a 24% interest since inception because of an option held by third-party to acquire up to 51% interest. That option was terminated in August 2014, and as a result of which we recorded a onetime adjustment in earnings of $10.3 million in the third quarter. Going forward, we will continue to count the gain or loss from DISH Mexico under the equity method but based on our 49% interest and 7% to 24% interest. We continue to have a very robust balance sheet with approximately $1.8 billion of cash and marketable securities, giving us ample resources to pursue our strategic objectives. With that, let me turn it back over to Mike Dugan.
Michael T. Dugan: Thank you, Dave, and thanks to the entire EchoStar team for a pretty well done quarter. It's much appreciated. I'd like to provide a brief update on some of our business development projects in summary. In regards to our Solaris Mobile spend venture in Europe, as Anders and Pradman have gone over, the space and graph components of the network, are progressing well. And we are beginning discussions with potential customers of the service in advance of the 2016 service offer. In the near term, our primary focus is on marketing with the EU and member states to more clearly define and harmonize the regulations regard -- relating to operation of a terrestrially delivered service. With regard to our Brazil Pay-TV project, there is no material change in the status. We continue to work towards finding the appropriate local partner to provide a state-of-the-art pay-TV platform for the Brazilian market. Our strategy continues to be to expand in international markets through partnership and joint ventures with reputable and established local companies, and through acquisitions. We have the best set-top box and satellite broadband product lines in the industry, along with world-class operating platforms, that will help us achieve this expansion. Our business development group is very busy looking at opportunities to expand our presence in the international market. I have an outstanding management team, employees to execute on these strategies. And again, they are directly responsible for the quarter's results. It's now time for us to move to question-and-answer. So, operator, would you please start that process?
Operator: [Operator Instructions] Your first question comes from the line of Jason Bazinet from Citi.
Jason B. Bazinet - Citigroup Inc, Research Division: I just had an easy technical question for Mr. Kaul. In the Q, you mentioned that some of the spot beams have run out of capacity on the JUPITER satellite. Is there flexibility to reorient those spot beams? Or are those sort of fixed in position when you launched the satellite? And then secondly, when you launched Jupiter 2, do you have the flexibility to not supply more capacity in the markets, where you already have capacity on the first satellite? In other words, can you rejigger it to sort of add the capacity where you need it in the U.S.?
Pradman P. Kaul: Yes. No, the answer to question one is, no, you can't change the location of the spot beams there. It is set. And at this stage, there's nothing you can do about it but use the capacity as it exists. When we laid out the beams on Jupiter 2, we obviously took into account the experiences that we had seen on Jupiter 1 and laid the beams, both in terms of bandwidth and power, in a manner that was optimum. But we were also trying to meet the certain coverage requirement of our business, which was based on the learning curve that we had gone through on Jupiter 1 and some of the newer markets that we want to address. So the beam pattern and the capacity you need to beam has been optimized for that business requirement.
Operator: Your next question comes from the line of Andrew Spinola from Wells Fargo.
Andrew Spinola - Wells Fargo Securities, LLC, Research Division: I was somewhat surprised to see you grow net adds sequentially considering the results from DISH and the fact that your biggest wholesale customer seems to have seen a sequential decline. Can you kind of walk me through some of the puts and takes in the retail and the rest of your business that you were able to deliver up sequentially?
Pradman P. Kaul: Well, the main growth in net adds for this quarter compared to previous quarters and the relationship with wholesale was a great performance in the retail channels. We were able to provide promotions and sales programs such that the retail channels did a lot better than we had anticipated. And I think that's what resulted in the performance that we have seen in our net debt overall driven by our performance in the retail channel.
Michael T. Dugan: Yes, I think to point out, I think Pradman's a little bit careful with his response, but the truth is they've had a huge challenge to both improve the retail sales while adjusting some of the ways we do business to address churn. And the simple truth is they've done a damn good job on that. And yes, we saw a reduction at the wholesale side, but they've worked very hard to maintain their growth through other channels. And they've done a good job.
Andrew Spinola - Wells Fargo Securities, LLC, Research Division: Great. And Pradman, I'm wondering how sort of when we think about Q4, Q1, typically those have been the seasonally strong quarters for net adds in your broadband business. And I'm trying to weigh that against the commentary about some of the more highly demanded beams being full at this point. I mean, can we expect seasonality or is that sort of headwind from lack of capacity too big for that to occur?
Pradman P. Kaul: Well we obviously don't give forecast. So I mean, I'd hate to comment on telling you, but in general, what we are doing is we have basically taken all the beams that we have and classified them into 3 categories: low fill, medium fill and high fill. And the opportunity for growth arises in increasing the capacity and increasing the number of subs in the lower and medium fill beams. So we are in the process of providing promotions and programs that will very aggressively provide a higher growth subs, higher rate of growth for subscribers in the low fill beams. And what we are hoping for, of course, is then to compensate for the fact that we'll have a slower growth rate in the higher fill beams. And that process is going on as we speak, and we'll be making announcements in the next 2 to 4 weeks on some of these promotions and plans. And let's hope for the best.
Michael T. Dugan: Yes, I hate the fact that we've used the word, closed, in a couple instances on the call. Hughes has always taken an approach to balancing need versus capability. And I won't say that any of the beams are actually closed, what they're doing is managing the promotions and so on to ensure we maximize the number of customers on any beam. And from a churn reduction standpoint, if we churn a customer out of a high fill beam, it gets replaced with a new customer with -- under a different promotion. So the beams are not actually closed, but they're being very carefully managed by the news team.
Operator: Our next question comes from the line of Chris Quilty from Raymond James.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Quick question. The Hughes enterprise business seems to have shown some pretty strong strength. Can you tell us about how much growth you saw in the most recent quarter? And are there any special activities going on that are driving growth in that business?
Pradman P. Kaul: Well, the main reason that we are seeing -- beginning to see some growth in the North American enterprise business is clearly as we mentioned in the past, we have built up a managed network service offering, which is very aggressive. And the thrust there, of course, is to offer customers not just the connectivity through a satellite network, but a complete managed network service offering where we offer them the best connectivity solution, where there's stress-driven satellite for each branch and a whole bunch of services on routing and -- et cetera. So that is being a big success. And over the last year to 2 years, we've converted our enterprise business from being a pure connectivity business to a managed network service business. It's very well received in the market and is now beginning to be deployed also into more of our international advanced markets like Europe, et cetera. So while the growth has been relatively small, like 3% or so, it's still a lot better than declining 5% to 10% as it used to in the past. And what we are hoping for over the next few years is to continue that growth and improve on that growth as more and more corporations want to get managed network service offerings.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Got you. Separate question, the agreement between Global Eagle and SES, is how did that impact you? Is that revenue neutral? Do you take a hit or are there growth opportunities with that relationship?
Pradman P. Kaul: Well, it certainly doesn't hurt us because we don't -- we're not really in the business of building space segment for aeronautical services at this stage in the KU-band. But what we are hopeful is that as long as we continue to supply equipment and hub services and manage their space segment, that we'll continue to be a very valuable partner for them in this business. And so it generates revenues and margins for us to provide those services.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Okay. I was under the impression that you were actually leasing capacity to them, which seems all that lease activity would shift over to SES. Is that incorrect?
Pradman P. Kaul: No. We were in there in for some of the requirements, but for the newer requirements, they're going in this way. So we're not really losing any of the old contracts that we had for providing services to them. And obviously, those contracts are still valid. Some of them expire in end of 2015, maybe some will expire in 2016, and then we'll have to see how we work with them to continue this business. But as of right now, there's no loss of revenue due to it.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Okay. And ViaSat last quarter announced that they were going to introduce freedom plans, where they're offering unlimited capacity to customers in regions where they just weren't seeing demand. Can you give us your thoughts on that type of a business model?
Pradman P. Kaul: Yes, I think some good stuff there, and we're doing not exactly the same thing, but fundamentally, the concept is the same. You have low fill beams and work promotions that you're going to offer in the low fill beams to fill them faster. That's the objective that ViaSat has, I'm sure, and that's the objective we have. So we are also introducing a whole bunch of promotions, both financial and capacity, in these low fill beams to help accelerate the growth of subs in these beams. And we'll be providing more of that information publicly in the next 2 to 4 weeks.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Okay. And DISH on their conference call talked about launching their over-the-top service. Is that part of your original DISH Digital agreement that you had with them? And can you refresh my memory on whether I think you may have sold your interest in that or done an exchange offer there for assets?
David J. Rayner: Yes, this is Mike Dugan. EchoStar and EchoStar resources have been active in building the OTT service for DISH, and actually working on that for years and years with the acquisition of Move and some of the services they already provided. In August of 2014, we did exchange our core, our third voting interest in DISH Digital and received a distribution of certain assets, which effectively go down the lines of everything technical and anything to operate the service. And so EchoStar will continue to be the provider of equipment and the back-end infrastructure and cloud-based support for the DISH OTT service. I think the big thing to take away is this does enable EchoStar to utilize what's been built. The industry-leading structure has been built for DISH. And we can utilize that to service other customers in the future, which we're pretty excited about. So it's a natural partition between DISH and their marketing and sales effort and EchoStar and their technology and systems we already operate, whether it's for Sling or DISH Anywhere, and all of the emphasis we have on the broadcast centers and everything else.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Got you. And final question, with regard to the set-top box business, any reasons to get excited about international sales opportunities beyond your existing customers? Obviously, DISH Mexico seems to be heading in the right direction, but prospects for new customers?
Michael T. Dugan: Well, we believe, first of all, ETC absolutely has the industry-leading technology in set-top boxes, right? So the good news is, internationally, we do have quite a bit of freedom there to sell set-top boxes. But the feature-rich popper and that product is probably not -- is lagging a little bit due to the economy in Europe and so on and so forth. But we're certainly going to continue that product leadership. And as markets need it, I think we'll be prepared to move there. I don't know if you've got anything to add, Mark, but...
Markus Wayne Jackson: No, I think the malaise in Europe is certainly affecting us a little bit. And then on some of our other partners, we're trying to get them to go upmarket on the products and get them higher ARPU customers, which they seem very open to. So we're working through that. And of course, we're trying to get into some new line of business with the ETC group with their home automation efforts.
Chris Quilty - Raymond James & Associates, Inc., Research Division: Okay. And I guess to follow up on one prior point, the DISH Mexico, the volumes there in the quarter, is that sustainable or was that a little bit of a channel fill in the quarter?
Michael T. Dugan: Because it's been in lead time, it's not -- it's certainty not channel fill. Can we totally predict? I don't know, Mark. I think because of their local channels and so on there, they're pretty healthy right now, but we can't predict what the Mexican economy might due to that joint venture. But right now, we're pretty happy.
Operator: Your next question comes from the line of Tim Quillin from Stephens.
Timothy J. Quillin - Stephens Inc., Research Division: You mentioned that EchoStar XXIII is most likely going to be used for the 45 west degrees slot for Brazil. Remind me, on EchoStar XV, what the economics of that lease are right now?
David J. Rayner: Yes. Tim, this is Dave. So right now, the economics on XV are a counterpart to the economics on EchoStar VIII because the capability of the satellites, EchoStar XV, we've got that currently sitting to 45 degrees slots. And we are leasing it from DISH for the same price that they are leasing EchoStar VIII from us in a backup role for their service. From an accounting standpoint, EchoStar XV shows up in our all other segments as an expense line item, and EchoStar VIII shows up as revenue within ESS. So I would imagine, upon the launch of XXIII, EchoStar XV would be returned to DISH and EchoStar VIII would come back to us to be redeployed.
Timothy J. Quillin - Stephens Inc., Research Division: Yes, that makes sense. And on a quarterly basis, the lease cost and the associated ESA revenue, is that around $12 million?
David J. Rayner: A little bit higher than that, but you're in the ballpark.
Timothy J. Quillin - Stephens Inc., Research Division: Okay, okay, very good. And then another detailed accounting question around depreciation, but it sounds like with AMC-15 and -16, as those move to operating leases, should we essentially take $17 million out of depreciation and then put $17 million into cost of sales?
David J. Rayner: Yes, I'm not -- there's probably some accelerated depreciation impact there. Certainly, $17 million goes into cost of sales, but the $17 million -- the offset is going to -- more than the offset is going to come out of the capital lease payments. So from a cash flow standpoint, it is positive. It's going to come out essentially out of depreciation if you're looking just at the P&L out of depreciation and interest expense.
Timothy J. Quillin - Stephens Inc., Research Division: Right, okay. And then at least I had noted at some point that you might have some satellites there that will be fully depreciated about this time. I was thinking EchoStar VII and maybe EchoStar VIII are fully depreciated. Are there anything like that? And if you don't have it in front of you, you can take it offline, but anything that's fully depreciated that would cause another step-down in depreciation expense in the fourth quarter or the first quarter?
David J. Rayner: Yes, I don't have depreciation schedules in front of me, so I'm not able to answer those questions. We can certainly follow up with you, Tim, and take a look at that.
Timothy J. Quillin - Stephens Inc., Research Division: Okay, that's fair. And then CapEx plans, your -- relative to your planned CapEx, you're not -- you kind of have been relatively -- have been at relatively low rate. Does that step up a lot in the fourth quarter? Or where do you expect to come in this year?
David J. Rayner: I would expect the full year to come in between $725 million and $750 million. So that is obviously a step-up in the fourth quarter. We have the purchase option on TerreStar 2, EchoStar XXI that we will exercise in the fourth quarter. And so that's a fairly meaningful chunk. And obviously, as I indicated earlier that CapEx spending, that kind of level actually will be a little bit higher than that, I would expect, in 2015 as we continue the satellite constructions.
Timothy J. Quillin - Stephens Inc., Research Division: Okay. And any help on tax rate, how we should think about tax rate in the fourth quarter and beyond?
David J. Rayner: I am hoping not to be paying any taxes. We're obviously still burning through an NOL.
Timothy J. Quillin - Stephens Inc., Research Division: Would you expect to accrue GAAP taxes, but not pay cash taxes?
David J. Rayner: Yes, and I haven't looked at the fourth quarter tax rate expectation yet.
Timothy J. Quillin - Stephens Inc., Research Division: Okay, okay. And then just lastly, and maybe, Pradman, if you can talk about this, but you talked about having promotions or adjusting plans on low fill beams right now. But how about as you think about the launch of Jupiter 2, is that something that's going to impact the type of plans that you offer? And specifically, where do you think you might be able to go with data caps as you launch Jupiter 2?
Pradman P. Kaul: Yes, there's no question that the fill factor in the beams affects the plans and the caps that we can provide in the different kinds of beams. Jupiter 2's launch of service is at least 18 months away. So it's a little early for us to figure out what plans we're going to be offering, but it's safe to say, genetically, we'll have the ability to offer more -- higher level of caps than we do today.
Operator: [Operator Instructions] Your next question comes from the line of Walter Piecyk from BTIG.
Walter Piecyk - BTIG, LLC, Research Division: I wanted to go back to Mike's answer about how you are building all these services for DISH to do their over-the-top services, and then you could actually sell those services to someone else. Can you talk about who the maybe potential customer is for that? Is that like, hey, we could always do it, but it's not really going to happen? Or is it something that you're going to market? Should we be thinking about this as like someone that wants to be an over-the-top guy that maybe wants you to just focus on like a sports package and he could go to you guide, you can give soup to nuts on enabling that? Is that the right way to think about that? And how big of an opportunity can that be?
Michael T. Dugan: Yes, let's be clear. We don't have any relationships with programmers, and what we're providing is the technology and the back-end systems to support other customers. So when I say we will be able to use the technology for other customers, it will be for their definition of an OTT service. And a lot of that opportunity is probably international. It's possibly with existing set-top box customers. But we all know that's a service that customers are demanding in the U.S. And you've seen the recent announcements from programmers going directly, but we've got the infrastructure and the capability to do that in a very cost-effective way. And we hope to provide it to more than DISH Network.
Walter Piecyk - BTIG, LLC, Research Division: And the value add, so let's say some guy goes out and gets their own content, right? I get that part. The value add in going to you guys is that they would alternatively had to have built that capability themselves? Or are there other companies that they could go to today that would also offer that capability to them?
Michael T. Dugan: Well, I'm sure there's other companies. We believe we're a little bit ahead. We think that's because of the groundbreaking work that was done by Move Networks before we acquired them, we think that we have a strong patent portfolio on that type of service. And we think that we put a lot of effort into it very early. So we think we're hopefully the industry leaders there, but I can't comment to what other people have available. But we also know that it's the bigger the infrastructure, the more cost-effective we can be in providing similar services to other customers. So...
Walter Piecyk - BTIG, LLC, Research Division: Got it. And before you sell that, presumably, you would have to basically -- DISH would launch their OTT product, whenever that's going to happen, I guess, later this year or early next, whenever it is. And then you use that, it's almost like a reference customer saying, "Look at what a great job this is, and we can do the same thing for you." And again, the value proposition, I understand move and patent portfolio and all that stuff. Can you get people to market quicker by using your solution as opposed to doing it on their own?
Michael T. Dugan: That's absolutely not only quicker to market, but we'll have gone through the launch process and we'll have the system stabilized. We'll have all the pieces put in place whether it's the phone applications and things like that. So yes, we certainly hope that we can provide a far better solution to -- and quicker solution and more cost-effective solution. That's the plan.
Operator: Your next question comes from the line of Craig Baum from Harvest Capital.
Craig Baum: This one's for Mike and Dave. So I understand that you guys are hard at work looking for a prudent acquisition, but in the meantime you're significantly underlevered with, I think, half a turn of debt, about nearly $2 billion in gross cash and you're throwing off material cash even in spite of the increased CapEx. I guess, would your stock trigger around 5x EBITDA? Unless you guys think that's the right multiple, which I'm guessing you don't, at what point do you look inward and buy your own stock ahead of Brazil DTH and broadband and then several material satellites launching in the next 1 year, 1.5 years?
Michael T. Dugan: Yes. So obviously, buying back the stock is an option. The board at our last meeting approved a pull to do that, as disclosed in our Q. But it's not something we're focused on right now. If we get to a point where we do not believe that we can deploy the capital effectively and generate meaningful returns, obviously, we'll look to other alternatives. But we continue to see opportunities to invest that capital in ways that grow the business meaningfully for the benefit of shareholders. And that's what our focus is on.
Craig Baum: Is a buyback versus other alternatives, are those mutually exclusive?
Michael T. Dugan: They are obviously not, but we believe that there are opportunities out there to utilize the resources that we've currently got on the balance sheet as well as, obviously, other leverageability to spend the money in that way, which we think is a better use of our funds and resources.
Operator: [Operator Instructions] There are no further questions at this time.
Michael T. Dugan: Okay. Deepak?
Deepak V. Dutt: Yes, thank you, and thank you, everybody, for staying on this call. This brings us to the end of today's call. Have a good day.
Operator: This does conclude today's conference call. You may now disconnect.